Operator: Good morning. My name is Sharon, and I will be your conference operator today. At this time, I would like to welcome everyone to the Dynex Capital, Inc., First Quarter 2019 Earnings Results and Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Alison Griffin, Vice President of Investor Relations, you may begin your conference.
Alison Griffin: Thank you. Good morning, everyone, and thank you for joining us today. With me on the call, I have Byron Boston, President and Chief Executive Officer; Smriti Popenoe, Chief Investment Officer; and Steve Benedetti, Chief Financial Officer and Chief Operating Officer. The press release associated with today's call was issued and filed with the SEC this morning, May 1, 2019. You may view the press release on the homepage of the Dynex website at dynexcapital.com as well as on the SEC's website at sec.gov. Before we begin, we wish to remind you that this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The words believe, expect, forecast, anticipate, estimate, project, plan and similar expressions identify forward-looking statements that are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. The company's actual results and timing of certain events could differ considerably from those projected and/or contemplated by those forward-looking statements as a result of unforeseen external factors or risks. For additional information on these factors or risks, please refer to the Annual Report on Form 10-K for the period ending December 31, 2018, as filed with the SEC. The document may be found on the Dynex website under Investor Center as well as on the SEC's website. This call is being broadcast live over the Internet with a streaming slide presentation, which can be found through a webcast link on the homepage of the website. The slide presentation may also be referenced under Quarterly Reports on the Investor Center page. I now have the pleasure of turning the call over to CEO, Byron Boston.
Byron Boston: Thank you, Alison. Good morning and thank you all so much for joining our call. Let me start the call with a brief mention of Dave Walrod, who passed away last month. Dave was a sell-side analyst with Jones Trading, and prior to that with Ladenburg Thalmann and JP Morgan. Dave was a friend of the company. And his good nature, insights and friendship will be missed by all of us here at Dynex. As I typically do, I will refer to the slide deck on our website, at www.dynexcapital.com, throughout this presentation. I encourage you to review the deck in its entirety. The presentation includes information intended to help our investors understand how we're thinking about the global macro environment, the return environment, our current portfolio construction, our earnings trajectory and the risks that we have chosen to take to generate income for our shareholders. Now, let's turn to Slide 3 and look at our results. Our performance during the first quarter was solid as markets rallied and volatility ebbed in sharp contrast to the fourth quarter. The low volatility environment allowed us to modestly increase leverage and regain a portion of our book value per common share lost in the volatility at the end of 2018. As noted on Slide 3, for the quarter we posted a total economic return of 6.7%, comprehensive income of $0.46 per common share and core net operating income of $0.18. Book value increased 3.7% to $6.24 per common share, led by tighter Agency CMBS spreads, and to a lesser extent, Agency RMBS and CMBS IO spreads. Adjusted net interest spread declined 5 basis points during the quarter to 1.19%, from lower drop income on TBAs and the spread between three month LIBOR and repo rates. Let's see. Overall, our investment portfolio inclusive of TBAs grew to $5.5 billion from $4.7 billion reflecting due to deployment of the capital raise during the quarter. And we added more Agency CMBS securities during the quarter and the mix between resi securities and commercial securities was approximately [a60/40 or close to 60-37%] [ph] at the end of the quarter. Now, let's turn to Slide 4 and 5. And let me remind you that we take a top-down approach to the markets by taking a very disciplined approach to forming a global macro-view of the economy and market, and then working our way down to our individual bond selection for our portfolio. And as you can see here on Slide 4, it contain of our global view as best expressed, which we have lifted from the World Economic Forum's Global Risk Report for 2019. The picture looks very complicated, but it is very reflective of the world in which we currently find ourselves. My favorite line in this report simply states that global risks are intensifying as the world is facing a growing number of complex and interconnected challenges. Now, look at Slide 5. In a world growing - in this world of growing uncertainty and intensifying global risk, we at Dynex believe that generating cash income from United States real estate related assets and the United States housing finance system is the most attractive investment in global capital markets today. In our opinion, the optimal portfolio for the environment is a diversified pool of highly liquid mortgage investments with minimal credit risk. Given our view of the environment, we believe long-term investors should seek and favor experienced management teams and Dynex brings significant experience and expertise in managing securitized real estate assets through multiple economic cycles. And then finally, investors should focus on the long-term, as we always have here at Dynex and the long-term total returns of mortgage REITs. Dynex Capital and the mortgage REIT industry as a whole offer good long-term returns both in our preferred stock and common equity, high-single-digit to low-teen returns and otherwise low global return in environment, with tons of negative yielding debt, and central bank holding up prices of other risky assets. Now look at our key takeaways slide on Slide 6 and 7. The current inverted structure of the interest rate curve is unusual, and has historically lasted six to nine months. In the near-term, our returns will be impacted by a couple of factors: three months LIBOR; one-month repo spreads; and prepayments. These factors may be a headwind to earnings. Now look at Slide 7. Our long-term returns that we have talked about multiple times in the past, continues to support our business model. Demographics support a growing demand for cash yield in addition to the fact that we just mentioned the amount of low yielding assets globally. There is a need for private capital in the U.S. housing finance system as the Federal Reserve attempts to reduce its investment in Agency RMBS and GSE reform may create new investment opportunities. We've stated many times that given our view of this environment, we believe long-term investors should seek all of the higher yields offered by the mortgage REIT environment. And we continue to think from a long-term perspective, a Dynex and we look beyond the short-term impacts that we see today that may pressure our earnings. So please turn to Slide 14 to 17. We're skipping over our macro view, which is outlined two slides 8 to 13, it's exactly as outlined a couple of months. And you can - it's fully outlined in our document. And if you look at Slide 14, unless discuss our portfolio construction will focus on prepayment risk, leverage and liquidity. Our portfolio is constructed for interest rates trading within a narrower historical range, as this explained in our macro view. Approximately 40% of our portfolio is invested in commercial mortgage-backed securities, which offer the ultimate and prepayment protection. While 60% of our portfolio was invested in residential securities, or 90% of our investments have prepayment protection in the form of loan characteristics that limit the incentive to refinance. Characteristics such as: lower balance loans; high LTV loans; geographic specific loans; and loans with low weighted average note rates. The other point I want to reiterate about our portfolio construction is that we are very comfortable. In this global environment using higher leverage on highly liquid high credit assets, especially given the durability of the financing markets. Our portfolio construction also allows us to flexibility to rapidly pivot to other opportunities when they arise. And then finally, let's turn to Slide 19. This is where we end all of our calls, we like this long-term chart, we emphasize the fact that we are focused on the long-term. You can take note that we made a change in this slide by including maybe S&P 500 financials, which you compared to other quarters, you will see the S&P 500 as a whole, there is nothing unusual in terms of where that line sits versus the other three. But we really want to point out that for those of you who do have a requirement to be exposed the financials. You can see the relative attractiveness of holding Dynex Capital over the last 12 years or so, relative to the overall S&P 500 financials index. So as we said again, I want to just reiterate. We believe that the mortgage REIT just factor in best in Dynex Capital offer attractive long-term return both in our preferred stock and our common stock. We bring to the table with very experience management team. Our portfolio is constructed for what we consider to be a lower narrower range than we have historically seen. In interest rates, it's diversified between commercial securities and residential securities. We appreciate you joining our call today. And we are opening the call for questions.
Operator: [Operator Instructions] Your first question comes from Eric Hagen with KBW. Please go ahead.
Eric Hagen: Thanks, guys, and congrats on the solid quarter. Can you just maybe guide us to the prepayment expectations for the portfolio in this second quarter, just given kind of the rallying rates that we saw during the first quarter? Thanks.
Smriti Popenoe: Hey, Eric. It's Smriti. How are you?
Eric Hagen: Hey, Smriti. How are you?
Smriti Popenoe: Good. So this - we are expecting prepayment speeds to rise in the second quarter relative to the first quarter. The models right now are projecting anywhere between 20% to 30% increase in the speeds. And it's about 25% on the most sensitive bonds. We believe that the S curves in the models right now are pretty severe. Our entire book is probably more in the 10% to 15% increase relative to the first quarter.
Eric Hagen: Okay. And then when we kind of translate that to an earnings impact, are we talking somewhere in the range of kind of $0.005 to a maybe a $0.01 of earnings? Or are we talking something maybe a little bit more than that?
Smriti Popenoe: Probably a little bit more than a $0.01, a $0.01 to a $0.015.
Eric Hagen: $0.01 to a $0.015, great. Thanks for that clarity. The second question is just on the mix of the overall portfolio. I'm looking at the yield table that you guys show for the quarter and just kind of looking at the difference between the RMBS, Agency RMBS and CMBS, and noticing the delta there. And in Byron's opening comments, you guys talked about kind of narrower range for interest rates, which I guess on its face implies that there is lower volatility in the market. So just thinking about the CMBS segment, I mean, intuitively you have to lever that maybe a little bit more to achieve the same kind of total return for the portfolio. Just how are you thinking about the mix between RMBS and CMBS, just given that kind of 50 odd basis points and yield pickups you're getting for the RMBS? Thanks.
Smriti Popenoe: Sure, yeah. That is - it's a very interesting trade off actually. So the way I would think about it, Eric, is that we have constructed the portfolio to respect a 2% to 3% range on the tenure. And we are very cognizant that we could spend a good portion of time at the lower end of that range relative to the higher end of that range. So the CMBS and the prepayment protected securities actually perform in the lower end of that interest rate range. And then the coupon selection helps us perform in the upper end of that interest rate range. And in reality, as you look at the returns on Agency RMBS, yes, you are right, in the low volatility environment, they do offer anywhere from 20 to 30 basis points incremental return relative to the Agency CMBS. But that 20 to 30 basis points can rapidly disappear when you have situation where you're moving down in rates very quickly and then staying there for some period of time. So we're making that pretty actively. And you also have pointed our correctly that the Agency CMBS, they would need to be levered more than the Agency RMBS to generate the same return. And the reason we get comfortable with that is because of roll down. What that does is essentially just with the passage of time, you actually earn back somewhere like 5 basis points per year on an Agency CMBS because of the locked on nature of the cash flows. So we are more comfortable with that locked out nature, of the prepayment protection and the roll down, levering that cash flow higher. And that's what - that's that risk return trade off that we have.
Eric Hagen: Yeah, excellent color. Thank you very much.
Byron Boston: Hey, Eric, let me add one other thing here.
Eric Hagen: Oh, yeah. Thanks, Byron.
Byron Boston: On Slide 9, we outline - this is the same slide we used in our last quarter, which is kind of why I skipped over the macro. It says more time between 2% to 3%. I think it's really important to understand the dynamic that we're describing there. And we describe an even broader range by trying to show on Slide 10, this broader range of 2% to 4%. And we're trying to draw a connection between amount of global debt. So we created dynamic, where we say as you move down toward 2%, if you're not going to - if you're not going to have a global crisis that's going to be a sustainable crisis, you're going to [a2% to 3%] [ph], we believe will bounce right back up. We believe there are factors that will push rates back up again. And then we talk about moving towards 3%. And we talk about factors that can push rates back down. And so, even when you're thinking about this risk, so often with prepayments, everyone thinks of prepayments as if, oh, wow, you're going to drop to a low rating, you stay there. The dynamic that we're describing in this range, and again, that's - no one has a crystal ball. We're just assessing the factor that we see in front of us as the dynamic of pushing rates down for some period of time and then bringing rates back up again. And likewise, it is the same in the other direction. So let me just, again, get to that macro view, high and how we think about prepayments. There are tons of scenarios, you can draw scenario where rates drop and you stay there, or you can draw a scenario where rates drop and they come back up. And that's kind of the way we try to outline this narrower range. You notice I didn't say volatility. That's kind of a theorem, just really bringing it down to what we call street man's language, which is a narrower interest rate range than we have seen historically. Does that make sense? And can you tie that back to the thoughts on the prepayments?
Eric Hagen: Yes, that was good clarity. Thank you very much, Byron.
Operator: Okay. And your next question comes from Trevor Cranston with JMP Securities. Please go ahead.
Trevor Cranston: Hey, thanks. Good morning. The question on the three month LIBOR versus repo spread that you guys commented on briefly in the prepared remarks, could you give us any indication of how much that impacted results in the first quarter kind of versus how much it will impact the second quarter, given where that spread stands today? Thanks.
Smriti Popenoe: Sure. Yeah, hi, Trevor. So thank you for that question. The way we think about it is - so the 3 month LIBOR to one month repo spread has narrowed from a wide level of about 45 basis points, sometime in 2018 in the third quarter, and sitting right around 10 to 12 basis points today. So it's a narrowing of about 30, 35 basis points. And the way to think about that is with respect to the size of any one repo position, relative to their swap position. So we are paying fixed on our swap position. We're receiving 3 months LIBOR. But then we're actually paying up on the funding side using 1 month repo rates. So the wider that spread is between 3 month LIBOR and 1 month repo. The more net interest income benefit you get. And that net interest income benefit has been declining since the third quarter from a benefit of 45 basis points to about 10 to 12 basis points today. And that affects entire repo position that is covered with interest rate swaps. So if you go back and look at I think our swap coverage relative to the repo book with somewhere around 80% last year. It's a little more like a 100% this year. That should give you a sense for how big that number, it's really quite significant. And just as a heuristic, obviously, if you have $1 billion swap booking and that basis declined by 10 basis points. You can do the math it's pretty significant.
Trevor Cranston: Yeah. Okay. That's helpful. And then my second question was looking at the interest rate sensitivity tables in the appendix on Slide 27, I guess. The book value sensitivity to the down rate scenario looks like, it's increased. I was just curious, if you can give any color around that kind of just sort of tighten the fact that given how much rate started to decline, you're more comfortable that they didn't have as much room to go for the down or just what the reasoning was for that change? Thanks.
Smriti Popenoe: You're right. I mean, that's exactly. We saw the rally and that happened late in the first quarter as a bit of an overreaction to what Chairman Powell had said as well as everything else that was really happening fundamentally in the economy. And so obviously this represents a snapshot of - on March 31 of the book. And so it will show that type of sort of the easy metric return profile. I think the 10-year note on March 31 close it 240 and that reflects - that look at to the end of December.
Trevor Cranston: Okay. Great. I appreciate the comments. Thank you.
Byron Boston: Hey, Trevor, one quick follow-up from your first question. If you're looking our press release, we show that average pay swap, pay fixed rate and receive rate. And you can sort to see, what happened during the quarter and then you can kind of look at the first point, you kind of look at where the curve is today. You kind of back into the impact on - the change basically from where we were March to what the first quarter look like.
Trevor Cranston: Okay. Great.
Byron Boston: What the second quarter looks like in terms of three months LIBOR rate versus one month LIBOR rate?
Trevor Cranston: Great. Got you. Okay. Thank you. I'll do that.
Byron Boston: Yes.
Operator: Your next question comes from Doug Harter with Credit Suisse. Please go ahead.
Douglas Harter: Thanks. Byron, I know, you were talking about just the level of rates being in a tight range. But can you just talk about, how you think about leverage and portfolio construction as we go through this environment that's generally characterized by low volatility. But we have these about of - spikes of volatility and kind of how you want to be positioned during the periods of relative comp.
Byron Boston: Yeah. So our main line and I probably said it for the last four years here at Dynex, where in fact it's been lots of volatility periods of comp. And when we look at, I mean, one of the main points here the key, what we call, our money theme that the beginning of this presentation is simply that. We look at leverage on this liquid assets in a more comfortable fashion today then even we looked at than the year-ago. And the reason is really right within look global risk environment. And the financing markets are more durable, we use a quote in the document here from our Chairman Powell, speaking of the overall durability of the financial system. We think about the credit quality of these assets, Smriti, already pointed out that on our [Dosset] [ph] portfolio, which is my favorite. It's - even if you really take off for widening it spreads, because of the leverage that paper roll down the curve nicely as it season. So you do have some cushion from that impact. So let me just we real clear that one of our most key points here today is that we feel any investor whether you are in individual, clearly massive investors - you're an institutional investor and you're managing equity and you're looking for returns that leverage from high quality and high liquid assets is that very attractive trade in the globe with this much risk. And that taught me, a higher leverage on the sectors. And by higher leverage, if you come out of 2008 right, you're looking about leverage coming, I think, you're not sure about the financial system, I'm not sure about how many people of repo lines, how many people will be durable with the repo lines. And we have far more visibility to that today then we had in 2008 and that would also argue. That the financing markets are more durable today than they were in 2004, or 2003, or 2002, to 2000,1998. So - for highly liquid assets, when you start to talk about leveraging credit assets such as historic. So we have been do that, it may different and some others, but I'll stand by that opinion and I'll bring out a ton of historical information, around how credit assets have performed and about the volatility versus how the liquid assets have performed. Smriti, do you want to anything add to that.
Smriti Popenoe: I do - Go ahead, Trevor, did you want to follow-up with that.
Douglas Harter: Yeah. It's actually, Doug, I guess, I was thinking more about - I guess, how you think about - your ability absorb, you're comfort with absorbing kind of book value volatility, economic return volatility over during that period. I guess, given the comfort you would have in the financing system that you just described?
Smriti Popenoe: Yeah. I mean, that's an interesting tradeoff as well. I think, the way we are thinking about it is, we're designing the book to have the ability to perform in a 2% to 3% 10-year note range. Obviously, Byron mentioned the larger range, we are very cognizant of that. We are respecting the probability that we're going to spend more time at the lower-end of the range than the upper end the range. We think about the credit quality of the book, the fundability of the book and flexibility of the book. And the reason you take on the additional leverage is that - it gives you the flexibility, it allows you to earn a return from a liquid asset. And then, I give you the flexibility during the volatility to adjust yourself. So during about the volatility, we're evaluating whether that about volatility is going to turn into something very bad. And then that case, you have the liquidity in your portfolio to exit your positions pretty close to where you mark them hopefully, right. And liquid assets have demonstrated timing again from 1981, I would argue to you, guys, that third year RMBS have been that type of assets that you can sell in a disruption. So it's something is going really poorly, you have the ability to exit your position. And then if there is about a volatility, where you actually have an opportunity to deploy capital then you can accept that temporary change in your book value. And you have the liquidity and the flexibility to be able to add in that environment. So that's really the big idea. The big idea is, you keep a liquid position, you have a liquid portfolio, you keep a big position of liquidity, cash and unencumbered assets. This is something we pointed out a couple of quarters ago. Having that cash in unencumbered asset position allows you even with higher leverage to manage through those about volatility. So it's the part of volatility is going to turn bad, you have exit your positions, because you have liquid assets. If it something that you think it's temporary. You have the cash and the capital to be able to deploy during the scenario. So that's really why we're saying right now, it's behind - this is the thinking behind the current construction.
Byron Boston: And Doug, let me point out that Smriti mentioned 1981 that's because when I started my career. And that's been in the capital committee, and we talk about an experience management team. I wasn't an investment banker, within analyst or some other peripheral role. I've been committing capital and these capital markets over credit and mortgage-backed securities for almost 40 years at this point. And so if you look back historically, do you do the research on it. You'll see that the agency securities, securities backed by the U.S. government have held up to every single crisis, you've been able to get liquidity. You either sell securities or you can borrow against them. That's really important when you talk about the volatility that may come from so many different uncertain factors. Well, you don't know where the bottom volatility may ultimately come from. So we feel very comfortable, when we look back especially most recent in 2008. In 2006, leveraging credit assets look like it was great. Like 2007, the dramatic term was a function of liquidity. In other words, those assets go from being looking liquid to being completely a liquid within a matter of ours actually, it's pretty amazing. So that's what factors into and we talk about long-term returns, long-term investors. We have a lot of retail investors. We are speaking to them. We are telling you that from a long-term perspective. We look at the globe and this amount of risk that we are more comfortable taking this type of liquidity risk. With the higher leverage, we've got liquidity to cushion a book value volatility is that's what you do assume some book value volatility in that process. And we believe it's the best investment opportunity versus others such as leveraging more illiquid deep credit assets.
Douglas Harter: Thanks very much.
Byron Boston: Okay. Go ahead.
Operator: And your next question comes from Christopher Nolan with Ladenburg Thalmann & Co. Your line is open.
Christopher Nolan: Byron, it sounds like you guys are anticipating narrower investment spreads and the higher leverage going forward. Is that fair?
Byron Boston: No. I mean, I think, it's hard to predict on the spreads. This is like last - but the end of last year, spreads right now, immediately right and gave you an opportunity. They - why they come back in, but there is still wider than the tight of last year. So some of we talk about the technical types of volatility and periods of comp. It's hard to predict exactly where those spreads would be. However, in terms of leverage we are saying that we are more comfortable with higher leverage. Then we are - then let's say 2008, 2009, 2010, 2011, 2012, 2013, 2014, we're definitely saying that we believe one of your best opportunities as higher leverage on higher liquid assets. In terms of net spread, and Smriti you might want to comment on it, but - yeah, we're saying that in the short-term prepayments or the spread between three months and LIBOR one month rebound pressure, net spread that it has recently. Yeah. That's basically what we're saying. That's correct.
Christopher Nolan: Yeah. Looking at the some of the different perspective for the additional shares issued, I am assuming that you will need leverage ratios to go north of 9 times adjusted to be cover the incremental shares. I mean, I missed that something.
Byron Boston: Well, let me just say, I am definitely comfortable, we moved leverage up in one-turn type increments. So we've been very disciplined in our process, you go back two years we sort of talking about taking leverage up and now we're pointed out more. So yeah, we've been moving leverage up in one-turn increments. We could see a day where our spreads right now, and you say you take leverage up. We're doing a tight time period and when times are better you bring leverage back down and that's ultimately how we look over the long-term, again long-term, in terms of managing our overall leverage. Smriti, do you want anything add to this?
Smriti Popenoe: I think that one of the things we have to consider as we have observed in the earnings deck. Is that right now, we're sitting with the Fed on hold, right. And we're sitting with that monthly month repo spread at a historic high and short-term prepayments be that are rising and could continue to raise further. So yes, net interest spread is going to be pressured, right. We are also saying that historically these flat are inverted yield curves that typically resolve themselves within six to nine month period. And eventually, you get an environment that supports higher net interest spreads. And underlying some of our thinking is to opportunistically take that leverage up when assets of why not cheapen enough, and that opportunity presents itself, and also considering the fact that ultimately the Fed will end up supporting a steeper yield curve.
Christopher Nolan: Okay. Great. And then, I guess, final question for further equity raises, I mean, the current equity rates that was slightly diluted to book value per share. Would you take the same type of dilution for future equity raises?
Stephen Benedetti: Hey, Chris. It's Steve. That's something that will consider the tradeoff, you're right, there was a modest solution to book value per share. But when you look at the return opportunity at the time then we took that capital down. We - frankly, we took the capital down, when spreads were probably their widest and then we're able to deploy it. And we were able to deploy it at ROEs and were a couple of 100 basis points are higher. It's over the marginal return was earlier in the year and the last year. So it's that kind of tradeoff, giving up a little bit of book value and order to add assets now. When you are adding those assets that wider spreads, you've also potentially can get some of that book value back as spreads tighten on those assets that you've added wider spreads. And then the construction of the [Dosset] [ph] we buy, they're longer duration assets. And as they roll down the curve and you'll get some book value back on that as well, so…
Byron Boston: So in the other key point strategically, it is valuable in our opinion that we continue to be very disciplined about how we grow our company over time. We believe that - whereas we don't believe that larger scale will be a predictor of longer term returns. They haven't been in the past. You can go back, as I pointed out in past calls, you can go back and look at larger companies. But we do think there is value to our shareholders by continuing to grow and scale up our asset platform. We do believe that when you think about institutional investors, passive investors and retail, those are the three groups now. And that's different than 10 years ago. 10 years ago, it was retail and just institutional. Now, you got the passive investors. There is value. One of these groups, who's very concerned about relative market cap, relative size, and we believe that the more interest we get from that will bring value to the rest of our shareholders by just bringing more liquidity to our stock, bringing a larger bid to our stock, et cetera, et cetera. So we do have in our strategic plan a desire to grow the company. We want to be very, very disciplined about how we do that. And we - in what we consider to be a shareholder friendly manual, sometimes it may be above both or slightly below both, but over time we believe that it will be accretive to earnings and book to value over the long term.
Christopher Nolan: Great. That's it for me and thanks for your earlier comments on [stable what you used to guide] [ph].
Operator: [Operator Instructions] You have a question from Eric Hagen with KBW. Please go ahead.
Eric Hagen: Thanks for the follow-up. I noticed that the level of dollar roll specialness has appeared to maybe go away or be very, very small at this point. I'm just curious how we should think about the overall mix within the 30 year fixed rate exposure kind of bucket or segment between pools and TBAs. And maybe even how that's changed in the first quarter or the first month of the second quarter? Thanks.
Smriti Popenoe: Sure. Yeah. Eric, the issue there, what I would say, there are a couple of things that will affect our decision to change that mix. One is going to be the UMBS implementation that is going to happen in June. So we're just waiting to see how that works out in terms of the dollar rolls and that really affected the level of dollar rolls at this point. And that's a technical factor obviously. So that's something that has put some pressure on the rolls. The second thing that put pressure on the rolls was just the - a small period of time that we spent below 250 on the 10-year note and mortgage rates got to 4%. That caused a declined at the end of the first quarter. We've actually seen a pop back in the rolls. April, just so you guys know, April speeds came in across the board much, much lower than the street had projected. So that's been a real positive in terms of how that's evolved. Now, we do expect speeds to pick up in May and June. That's reflected in the rolls. But I think having April speeds come in better than expected was very positive for the roll market. We have less exposure to 4.5s than we did before. So that has not - for us, that dollar roll decline hasn't affected us as much. But what I would say is from the end of the quarter, we may have seen somewhere between 10 to 20 basis points of improvement in the implied financing rates.
Eric Hagen: Okay. Great. Do you have a sense for…
Smriti Popenoe: But for now, I think our mix is going to be relatively stable pool versus TBA, until we get through this UMBS stuff.
Eric Hagen: That's helpful color. Do you have a sense for how book value did in April? Can you give us an update there? Thanks.
Smriti Popenoe: I think it's been fairly stable to slightly higher. The spreads on Agency CMBS continue to come in. We've seen a little under performance in the 30 year sector just because of supply. It's been stable.
Eric Hagen: Got it. Great. Thank you very much for the follow-up.
Smriti Popenoe: Sure.
Operator: [Operator Instructions] And we do not have any questions at this time. I will turn the call over to the presenters.
Byron Boston: Let me just point out here, because I listen to the questions that are here. And they're very interesting, because I think back to 2006, I think back to the late 1990s. I think back to the 1994. I think back to the late 1980s. If you look at Slide 10 and Slide 11, and these would be my last comments. But I'm just thinking about how you the analyst community is trying to sort through all the complexities. We started this presentation off with a very - if you go to the World Economic Forum Risk Report, I think it's a great one, and then on Slide 10 and 11, this really starts to put in a couple of very simple terms this environment. You got enormous amount of global debt and you can see what has happened to yields. They have narrowed enormously. If you follow Japan and if you go back and look at their charts, you'll see their yields narrowed down to such narrow trading regime. I'm not using the word volatility. That's a nice theoretical word to use in your model. Let's talk about the reality of a narrow interest rate range. An enormous amount of global debt that leaves the global economy fractured. If you look on Slide 11 you'll see enormous increase in central bank balance sheets. And that's the back drop by which we get to our opinion that higher leverage on high quality liquid assets is an attractive trade. And it's enough to get through this period. It also backs up our opinion, if you look historically at those periods that I point out, the shorter duration of period, six to nine months of structures of yields and interest rate curves that we have seen historically. It's hard to predict the future, because of all the factors that are changing. But it is important to understand history. And because we are saying that we - you're talking to a very experienced management team, from our accounting, to our investment professionals, we are very disciplined in our approach. But I understand the complexity and the question that you guys are trying to answer and trying to get to. But I would urge you and all of our investors, retail, passive and institutional, take a long-term view. With this type of dividend yield offered by both our preferred and our common, it can cushion any type of most of the book value volatility that you will get over time. So with that, we thank you so much for joining our call. And we look forward to chatting with you again in three months.
Operator: This concludes today's conference call. You may now disconnect.